Operator: Hello, and welcome to the Lemonade Fourth Quarter 2022 Earnings Call. My name is Harry and I'll be your operator today. I'd now like to hand over to Yael to begin. Yael, please go ahead now.
Yael Wissner-Levy: Good morning, and welcome to Lemonade's fourth quarter 2022 earnings call. My name is Yael Winlevi, and I'm the VP Communications at Lemonade. Joining me today to discuss our results are Daniel Schreiber, Co-CEO and Co-Founder; Shai Wininger, Co-CEO and Co-Founder; and Tim Bixby, Chief Financial Officer. A letter to shareholders covering the company's fourth quarter 2022 financial results is available on our Investor Relations website, investor.lemonade.com. Before we begin, I would like to remind you that management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our Form 10-K filed with the SEC on March 1, 2022, our Form 10-Q filed with the SEC on November 9, 2022, and our other filings with the SEC. Any forward-looking statements made on this call represent our views only as of today, and we undertake no obligation to update them. We will be referring to certain non-GAAP financial measures on today's call, such as adjusted EBITDA and adjusted gross profit, which we believe may be important to investors to assess their operating performance. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our letter to shareholders. Our letter to shareholders also includes information about our key operating metrics, including in-force premium, premium per customer gross loss ratio and net loss ratio and a definition of each metric, why each is use flow to investors and how we use each to monitor and manage our business. With that, I'll turn the call over to Daniel for some opening remarks. Daniel?
Daniel Schreiber: Good morning, and thanks for joining us to review Lemonade's results for Q4 and for the full year of 2022 as well as our outlook for 2023. I 2020 post challenges to businesses and industries worldwide in the form of storing inflation, geopolitical unrest, rising interest rates and tumbling markets. Happily, Luminate had a good year, notwithstanding the global tumult. It's not that we were unaffected by these consumptions by any means, but we're grateful to have being able to respond in ways that blunted their force. When inflation put upward pressure on our loss ratio, we counted by upping our rate of filings eightfold. While we have not seen off the threat of inflation, we can tentatively say that it is in retreat. As the cost of capital rose dramatically, we moderated our spending so that our sizable reserves should now lost the distance. As a result, this quarter indicate, we believe that peak losses are now behind us and that we're progressing our plan along our path to profitability. In parallel, depending off threats from without, we've made progress on within launching new products, new markets, acquiring and integrating Metromile and growing the business by 2/3 year-on-year. All told [indiscernible] precept to Neverland a good crisis go to waste, we ended 2022 materially stronger, better and bigger than we entered it. Zooming in on our fourth quarter, we're happy to report strong results with both top and bottom lines coming in better than expected. Q4 was also an interesting case study of some of the challenges and surprises insurance companies face, in particular, seasonality and extreme weather. On seasonality, the last quarter of the year is usually characterized by fewer renters and homeowners moving more holidays, higher cost of acquisition and hence, slower sales. This year, probably driven by spending pullback by companies across industries, our marketing efficiencies were actually stronger than we'd anticipated, helping both our top and bottom lines, a pleasant surprise. And then there was an unpleasant surprise when winter storm Elliott inflicted Misery on millions of Americans over the Christmas holiday. Such a storm, so late in the year is also atypical and the fact that our loss ratio continued its decline, notwithstanding Elliott, is suggestive of a strong underlying downward trend. In fact, we saw continued loss ratio improvements across our business, very much in line with the predictions we shared in our November Investor Day, which brings us to the year ahead. And I'll hand over to Shai to provide some color commentary on 2023. Shai?
Shai Wininger: Thanks, Daniel. In 2023, we'll focus our efforts on 3 key levers of our business, growing with our customers, further improving our loss ratio and continuing our growth. You'll read more about each in our shareholders letter, but I'd like to add some more color. Starting with ADR, our annual dollar retention, which is a helpful indicator for our growing with our customer strategy. Today, we reported that our ADR climbed 4 percentage points to 86%, an all-time high, though in Illinois, where all our products, including lemonade car, have been available for a full year, ADR now stands at 95%, hopefully, a sign of things to come. Having said that, ADR loss ratio and growth are only twined in obvious as well as nonobvious ways. For example, we have broad efforts to continue to drive down our loss ratio to our target range. And in some cases, this includes parting ways with customers whom we cannot adequately price. The pockets of mispriced customers can always arise, but the inflationary environment of recent quarters have increased their size and prevalence. Our machine learning models have become fairly proficient at identifying these mismatches and so we're slowing growth in these areas. Within the limitations imposed by regulation, in the more badly mispriced areas, we won't make do with slowing or stopping growth will actually put growth into reverse. We'll do that by nonrenewing unprofitable business. Non-renewals will put downward pressure on all 3 of our core metrics, ADR, loss ratio and growth. Downward pressure on loss ratio is the point and is welcome. Some pressure on ADR may appear to be unwelcomed though when the business we're parting ways with is a drain on our profits, this is actually welcome to. Gross profit retention, if you like, will still be going up, which brings us to the downward pressure on growth. The time lag between filing new rates and these being approved, implemented and earned in can be considerable. Fortunately, we have reasonably good visibility into those dynamics and can target our growth accordingly. But as long as sections of the market remain mispriced, opportunities for profitable growth will remain somewhat constrained and our pace of growth will track to the pace of new and profitable rates coming online, which is a good segue to Tim, who can provide more details on our guidance for 2023 as well as on our Q4 results. Tim?
Tim Bixby: Great, thanks. I'll give a bit more color on our Q4 results as well as expectations for the first quarter and the full year, and I will take your questions. We had a strong quarter of growth driven by addition of new customers, a portion of them related to the Metromile acquisition as well as a continued increase in premium per customer. In-force premium or IFP grew 64% in Q4 as compared to the prior year to $625 million. Absent the impact of the Metromile acquisition, organic annual growth was approximately 38%. We believe that IFP is useful to understand the full scope of our top line growth before the impact of reinsurance and regardless of the timing of customer acquisition during the quarter. Our customer count increased by 27% to $1.8 million as compared to the prior year. And premium per customer increased 30% versus the prior year to $346 -- this increase was driven primarily by the Metromile acquisition impact and to a lesser extent, a combination of increased value of policies over time as well as a continuing mix shift toward higher-value homeowner car and pet policies. Annual dollar retention, or ADR increased by 4 percentage points to 86%, a new high. We measure ADR on an annual cohort basis and include the impact of changes in policy value, additional policy purchases and churn. Gross earned premium in Q4 increased 69% as compared to the prior year to $151.3 million, roughly in line with the increase in in-force premium. Revenue in Q4 increased 116% from the prior year to $88.4 million. The growth in revenue was driven by the increase in gross earned premium as well as a reduction in the proportion of premium ceded to reinsurers to 58% in the quarter as compared to 72% in the prior year. Our gross loss ratio was 89% for Q4 as compared to 96% in Q4 2021 and 94% in Q3 of 2022. The impact of cat in both Q3 and Q4 was notable, with Hurricane Ian impact in Q3 and winter Storm Elia impacting the end of Q4. Absent the impact of all cats in Q3 and Q4, the underlying non-cat loss ratio showed solid improvement of roughly 9 percentage points from Q3 to Q4. Operating expenses, excluding loss and loss adjustment expense, increased 12% to $95 million in Q4 as compared to the prior year. This increase was primarily driven by increased personnel expense, stock-based compensation expense and legal and professional fees in large part due to the Metromile acquisition, partially offset by lower sales and marketing expense. Other insurance expense grew 68% in Q4 versus the prior year, roughly in line with the growth of earned premium. Sales and marketing expense actually declined by $10 million, primarily due to lower growth acquisition spending to acquire new customers, offset by certain onetime software expense rationalization costs that we expect will reduce future recurring expenses. Technology development expense increased 43%, primarily due to increased personnel and hosting expenses to support customer and product growth. while G&A expense increased 35% as compared to the prior year but notably decreased by $9 million as compared to the prior quarter. We also continued to add new limited team members in all areas of the company though at a much more modest pace than we've seen for several quarters in support of customer and premium growth and geographic expansion. Global head count grew 22% versus the prior year to 1,367, primarily due to the impact of the closing of the Metromile acquisition in July. Absent the impact of the Metromile acquisition year-on-year head count would have remained roughly flat. Net loss was $63.7 million in Q4 or a loss of $0.93 per share as compared to the $70.3 million net loss we reported in the fourth quarter of 2021 or $1.14 per share. While our adjusted EBITDA loss was $51.7 million in Q4, nearly identical to the $51.2 million net EBITDA loss in the fourth quarter of 2021. Our total cash, cash equivalents and investments ended the quarter at approximately $1 billion, reflecting a use of cash for operations and capital expenditures of about $163 million since year-end 2021, offset entirely by an increase of about $165 million acquired in conjunction with the Metromile acquisition. With these goals and metrics in mind, I'll outline our specific financial expectations for the first quarter and full year 2023. In the first quarter, we expect in-force premium at March 31 of between $635 million and $637 million, gross earned premium of between $148 million and $150 million; revenue between $87 million and $89 million and adjusted EBITDA loss of between $65 million and $63 million; stock-based compensation expense of approximately $15 million; capital expenditures of approximately $2 million, and our share count weighted for additional shares issued in connection with the Metromile acquisition totaling approximately 70 million shares. For the full year 2023, we expect in-force premium at December 31 between $695 million and $700 million, rose earned premium of between $632 million and $636 million; revenue between $375 million and $379 million; and adjusted EBITDA loss between $245 million and $240 million; stock-based compensation expense of approximately $60 million, capital expenditures of approximately $8 million and a share count for the full year totaling approximately 72 million shares. And with that, I would like to hand things over to Shai.
Shai Wininger: Thanks, Tim. We'll now turn to the top-voted shareholders' questions submitted through the safe platform. The first question is coming from Darren, who is asking about our thoughts on the increase in Glassdoor negative reviews in relation to our customer support team. While there we take all of our employee feedback very seriously and have put in place tools and procedures to make sure everyone is able to speak up and help us become better. From day 1, we've instilled the culture of openness, directness and hunger for feedback. In fact, being direct is one of our core values. Our managers are all trained to embrace failure as much as they celebrate success and ask their teams to provide them with direct feedback on what's working, what's not and how they're doing as managers. Several years ago, we implemented an anonymous employee feedback system and since then, collect extensive feedback from employees constantly and aconitase. Within our existing team and through the anonymous system, which we think is the most reliable, we haven't seen any decrease in satisfaction in the last 6 months. In fact, during that time, we've seen an increase in engagement in E&PS across our teams as well as by our customer service organization. While we appreciate sites such as Glassdoor and recognize their place in the job market, they fail to serve as a reliable operating data source for us, and we prefer to be guided by the more dependable nuanced and benchmark data sets that our tools provide -- on the next question, paperbag wanted to know what are the ways we're reducing costs in overhead? And how do we plan to reduce costs further and become as efficient as possible? Paper Reg, thanks for the question. Efficiency is something we've been seriously monitoring since we started. In fact, I wrote several posts about our vision of the autonomous organization and how we're using technology to lead the market in our efficiency. We are big believers in automation, and this has been in the company's DNA and plans from the very beginning. For example, our operating expenses in Q4 versus Q3 decreased by about 13%. And for sales and marketing alone, this decrease was 24%. Efficiency is something we're laser-focused on, and I hope these examples help show that. More generally, I'm happy to say that much of the costlier tech infrastructure building is behind us. And due to that, we slowed our headcount growth significantly. Here are a couple of data points to help demonstrate this. The first is that our IFP per employee increased by 35% during 2022. The second is that our expenses as a percent of our gross earned premium improved by 32 percentage points during the same period. It's worth underlining that this progress was not withstanding our acquisition of Metromile, which added considerably to our expense load in the short term. And while we're still in the process of integrating Metromile's core systems in the fourth quarter, we discontinued dozens of high-cost services, which we no longer require as a combined entity. It's also worth noting that our expense ratio today is built for scale, and we should be able to continue to grow very significantly without matching increasing costs. This is important because getting to our target expense ratio will require a combination of expense control, the numerator and growing our business, the denominator. The super power of technology and automation, as you know, is most pronounced at scale, and that will be true of Lemonade efficiency, too. The third question is coming from Anand. He's asking, when is Lemonade planning to offer Metromile auto to all states? Thanks, Anan. I assume that by Metromile auto, you mean pay-per-mile car insurance. In terms of our rollout plans, beyond reiterating our long-term aspirations to offer all products to all customers, I'm afraid we don't preannounce specific rollouts. All I will say is that we're impatient to get these great products into the hands of as many of our customers as possible and as soon as practicable. The next question, we were asked how confident are we that our loss ratio will improve that customer churn will reduce and that we can cut operating expenses significantly and why. On all points, loss ratio, retention and reducing expense load, we do see encouraging trend lines and reason for continued optimism. This quarter's results reinforce this with loss ratio declining, dollar retention climbing and greater efficiencies than ever before. And I shared some stats on this -- in my answer to paper bag. In short, though, our confidence in continued progress comes from our technology and how fast it's learning and impacting our KPIs. As our systems become more sophisticated and training data sets become more expensive, we become better at pricing and selecting risks, which translates into healthier loss ratios. We become better at automating processes like customer support and claims, which translates into healthier expense ratios, and we get better at delighting and cross-selling to our customers and that translates into growing customer and dollar retention; that's the short answer. To get a full answer with examples, statistics, trend lines and projections, I'd encourage you to watch the presentation from our November Investor Day, where we provided detailed explanations for what we're seeing. And with that, let me hand the call over to the operator so we can take some more questions from our friends on the street 
Operator: [Operator Instructions] Our first question today is from the line of Jason Helfstein of Oppenheimer. Jason, your line will be open now if you'd like to proceed.
Jason Helfstein: Two questions. The first kind of big picture in the second more specific. So it appears that AI technology is going to be, in time, easily licensed from Microsoft, Google, probably Amazon to whatever companies want to use it and probably a more cost efficient and easier than would have been available. How do you think that impacts laminate specifically as well as your competition broadly. So that's a big picture question. And then just second, Ken, just can you talk about how the loss ratio in the quarter was impacted by business mix to the extent we were comparing it to last year's loss ratio?
Daniel Schreiber: Jason, so I'll take the first bit and then hand it back over to Tim. We're deeply gratified to see the real explosion of kind of third wave AI that's captured a lot of imagination. It was curious for me. We opened, as you may recall, our November Investor Day with examples of generative AI and what it can do, and it was really a week or 2 later that ChatGPT came out and it exploded kind of common knowledge, and people have been talking about little for the last few months in the AI world. So no doubt these technologies are becoming incredibly powerful and far more pervasive and available. So I accept the premise of the question. But in a way that is important to understand, I think, and we try to touch on it in the November presentation as well. If you haven't built your company, if you haven't architected in such a way that the AIs have access to deep and textured and precise information, it's really hard to see how it's going to glean the kind of insights that we built our business upon. So, data sets that have been built up over generations that are disparate that are not entwined are going to be very, very difficult for AI to really mine in a highly efficient way and broker-based distribution systems and human interfaces of all kinds are going to make it harder again for them to get high precision training data sets. So we do feel like we have affected our business from the ground up -- and from day 1, have spoken about Lemonade has been built for AI. It's very off to say that today, but we've been saying that consistently since the day we were founded, which is why we believe that we'll be able to leverage these capabilities as they mature in the way that, frankly, is unmatched by any of the incumbents. Tim, let me hand over to you to tackle the second part of Jason's question.
Tim Bixby: Sure. Sort of shift gears to the loss ratio and the cat impact and some of the seasonality I think you're getting at, Jason. So in the fourth quarter, we did see Cat impact as we have also in the third quarter, which tends to be the highest impact with 2 pretty significant storms. And so one of the things we highlighted in the letter that we put out, the materials we put out is that absent all the cat activity, we saw a significant underlying improvement in the loss ratio sequentially, something on the order of 9 points of improvement. So while the seasonality is something that is unpredictable, but consistent, meaning Q3 tends to be higher, but you don't always know what the impact is. Absent that -- all of that impact, about a 9-point improvement. And then, a similar result as compared to the prior year in the fourth quarter. So if you strip out, again, all of the cat impact, we would have seen something on the order of a 7-point improvement. So really with or without just about any comparison showed the continuing underlying improvement in loss ratio in Q4.
Operator: Our next question is from the line of Josh Shanker of Bank of America Merrill Lynch.
Josh Shanker: Sorry about that. Yes. My question is more longer term. If we think out 5 years into the future, what is an appropriate loss ratio for the mix of business that lemonade has? And what's the appropriate loss ratio for the incumbent carriers at the same time.
Tim Bixby: So, I would think some – we’re better able to answer from our own perspective as compared to the industry. So I’ll start with that. So from an eliminated perspective, a loss ratio that’s well under 75%, if not under 70%, is the long-term plan and the long-term goal – we’ve seen that already in a subset of our business. If we isolate renters insurance, for example, we shared some – a little more granular detail in our Investor Day. And so we can see where we’ve already achieved that with the more mature products. There will certainly be volatility quarter-to-quarter, and there’s a seasonality impact, but that continues to be the long-term goal. And I think we’ve started to see and we’ll continue to see the impact of a pretty dramatic increase in rate filings, which will – we expect will continue to move us fairly rapidly toward that goal, not just over 5 years, but over the coming quarters. In terms of the industry, I’m a little more reticent to say what’s appropriate for the other players. I think we’re pretty focused on our path to profitability and our loss ratio. And I think with the rate filings we have in place and coming online, we expect that we’ll see good results in the coming quarters on that.
Q – Josh Shanker: And one thing that -- I guess I'll just follow up. You said that you're already seeing those sort of numbers in the renters area. Should we expect long term that renters as a much better loss ratio than the rest of the product? That's the case for the industry. But should we look at Lemonade actually thinks that renters should have approximately the same margins for the rest of the business? Or is -- will it be like the rest of the industry where renters have been materially better loss ratio business and everything else.
Tim Bixby: So maybe 2 ways to think about that. So one, yes, the underlying profitability is there, and we've shown it, we're experiencing it now. But on the other hand, one of the levers or options that we have is to deliver some of that value back to our customers in the terms of pricing. And so that's something we've done historically where we don't automatically take every bit of benefit to increase our own profitability. Our renters product is quite attractively priced. We don't compete solely on price with that product, but because of our cost structure and because of our go-to-market strategy, it continues to be pretty attractively priced. But I would say that we have that optionality to do that. And -- that's one of the levers as our product mix changes that enables us to generate a little more visibility. So, for example, this coming year, we’ll probably lean a little more into growing the renters book than we have in the past, not dramatically, but modestly because that’s a little more profitable while we wait for some of the rate impacts to come online and some of the other products. So it continues to be one of our healthy levers that we can pull from time to time as we grow the business.
Daniel Schreiber: And maybe just to add another sentence on that. One of the ways to think about this is optimizing for gross profit dollars -- as you take up pricing, loss ratio, of course, being a ratio is one that you can manage to. So you could raise prices that would increase your loss ratio, but would also increase your cost of acquisition and dampen retention and market share. Conversely, you can lower prices, you'll have a lower loss ratio, but you'll be able to grow and retain customers faster. We'll be looking to really optimize for gross profit dollars, which is the multiple of the 2. So as we -- with each of the products, including with the renters, that will be the kind of logic of where we end up in terms of loss ratio.
Josh Shanker: Well, thank you for the answers. Very complete. Appreciate it.
Operator: Our next question today is from the line of Andrew Kligerman of Credit Suisse.
Andrew Kligerman: Kind of curious in the write-up, you talked about some pressures on the pet services products as well as the home and car repairs in terms of loss cost inflation. Given I just don't see a lot of companies with these pet services, could you give a little color on what loss ratios you're seeing in the pet services area and just some color on the inflationary environment for that product.
Tim Bixby: Sure. So a couple of thoughts on inflation in general and then Pet in specific specifically. So generally, this is something we've talked about for a few quarters, all of the other players have as well. We've seen impact from inflation across the entire book, it's more pronounced in home and to a somewhat lesser extent, patent car and then lesser still in renters, but still across the whole book. In terms of the loss ratio impact, it's a little hard to parse out, but based on our -- the way we've come at it, we've seen car with the most dramatic loss ratio impact. And part of that is the nature of the acquired business through Metromile, but something like on the order of 10 or 11 points of impact on car, home and pet more in line with each other, 5 or 6 points and then renters, maybe 1 or 2 points of loss ratio impact. Now because of seasonality and other impacts, you can't completely isolate inflation. But generally, that's how we think about it. In the pet market specifically, labor costs, vet labor costs is a significant part of what's being covered. And so that has faced upward pressure as have a number of other types of costs. So in terms of the specifics, we did share a bit more detail in our Investor Day presentation in terms of loss ratios. So you can see -- I would point you to those materials where you've seen a continued improvement quarter-over-quarter and actually fourth quarter loss ratio experience was a bit better in terms of each of the sub product loss ratios and we shared at Investor Day; so good positive trends there. And then from a macro standpoint, we see our ability and based on our filing pace to keep up or even better to match where we think inflation is heading over the coming year and we're hopeful that -- some of that has been built into our guidance. And we've – as I always set our guidance in a way that we believe we can achieve it as some of those filings come on as planned, we might can have a more favorable impact.
Andrew Kligerman: That's very helpful. And then, with respect to -- I was reading through the letter, the shareholder letter. And you talked about AI GIM [ph]. And could you give an example of how AI gym would handle a claim? What might be a typical claim for AI GIM [ph]?
Daniel Schreiber: Andrew, let me take a run at that. So IGM begins pretty much all clean processes at lemonade, something in the order of 98% of our claims begin with a conversation with AI Jim. So almost regardless of the nature of the incident, your first port of call at Lemonade will be the app. And in the app, you'll be very quickly talking to this AI. Now there are claims that AI GIM can handle from start to finish. In fact, it's not far from half of our claims, it's 40-something percent of our claims, where AIG will ask you a host of questions. So you're in the coffee shop and your laptop with missing and I'll ask you to upload a video just explaining in kind of normal language, what exactly happened. If you have received, you might ask you for that, you might ask you for Police report, if you have that. Tell us keep what is necessary. And in almost half the cases of claims, 40 something, I think it may be around 45%, I forget the precise number. There’ll be no need for any human intervention at all. In the remaining cases, he will do the triage and ask the information, but something in the claim will be such that he’s not authorized to close out the case. And in that case, he will direct it to a claims professional and AGM has access to all our claims professionals knows what the area of expertise is. Team knows what their workload is. And he will send them a link where they can open up directly at dashboard with all of their claim laid there in front of them, the video, the receipts, et cetera, et cetera, and any concerns that AIG flagged. So if there’s any things that stopped AGM from paying the claim, that will also be laid to bear in front of the claims professional and they will take it from there. So even in those 55% odd claims that are handled partially by humans, a lot of the heavy lifting is already done by AGM. So he really is the stalwart of our claims infrastructure.
Operator: [Operator Instructions] Our next question is coming from the line of Tommy McJoynt of KBW.
Tommy McJoynt: The first one, can we drill down a little bit on the operating expenses? So both sales and marketing and G&A saw some solid decline sequentially. How should we think about the trajectory of those 2 expense lines going forward? And I guess along that same lines, when you think about the marketing spend, how much of that is a function of just waiting for rate adequacy.
Tim Bixby: Yes. So a couple of comments, and welcome to the analyst group. To have a new contributor on board. I know one of the things that you've been highlighting and that we want to make sure that we're highlighting as well is around the expenses is how they break down, and I'll cover that. But just also important, I think, to highlight what we've been saying for quite some time is we've expected that Q3 last year would be our peak loss quarter. And I think if you break down our expenses now and going forward and our expectations, that's something that continues to be the case. Q4 came in quite nicely. It was one of those quarters where things that go -- are expected -- came in as expected and things that were a little uncertain came in to the good. And so Q4, we ended up doing a little bit better as you saw than our own expectations and certainly compared to the market's expectations. So that peak loss expectation continues to be the case. You noted, I think, in one of your notes that as peak loss is a quarterly thing or an annual thing. And I think it's probably worth clarifying for all our investors that our annual losses, we also expect to continue to decline. Now 2022 was a little bit of an anomaly year where Metromile impact, which is an acquisition that closed, as you know, in July, really bumped up our expense run rate. In fact, if you annualize that from the beginning of the year, our EBITDA would have looked more like a $2.70 or $2.80 in loss for the year and we came in, in the 220s. So from -- even from an annual perspective, our aspiration and goal is that we'll see last year's peak losses. Our guidance for like some conservatism in that, but that continues to be the case. In terms of your specific questions on the expense line, Q4 is a really good proxy for the breakdown of the expense lines. And you'll see, if you compare Q4 to the prior 3 quarters, a little bit of a break in terms of both the absolute amount as well as the breakdown. And the biggest shift is really in the sales and marketing line where we've chosen to tamper our growth rate somewhat, our top line guidance in terms of IFP puts out something in the 11% to 12% growth range. And so that's probably the biggest shift. If you roll out the quarters, I think the breakdown will look a lot like the fourth quarter in terms of ratio. So other insurance expense, sales and marketing, tech development, G&A, the 4k lines. That ratio, I think, will continue to be fairly similar to what you'll see today or you saw yesterday in the Q4 breakdown. And then, the last piece that's probably worth hitting is within the sales and marketing line that advertising or gross acquisition spend has -- for quite some time, has been the key component, the primary component, usually running at a level of about 70% of that total sales and marketing line fairly consistently over time. That has come down again as we've tampered down the growth rate somewhat. And so that rate, you'll see in Q4 actuals when we file our 10-K looks more like 55% of the sales and marketing line. And I would think of that also as a reasonable ratio to use going forward. So a little bit of moderation in Q4 and then those patterns continuing throughout 2023.
Tommy McJoynt: That's great detail. And then just my second question, what was sort of the impact of the hard reinsurance market on your 2023 expectations -- and is there any way to quantify either the rate online or change in chief ceding commissions? And then just remind us how much you guys are dependent on 1/1 renewals versus midyear renewals? Just kind of an overview on the reinsurance would be great.
Daniel Schreiber: Tommy, Daniel here. So our main reinsurance agreements come up for renewal midyear. We're coming off of a 3-year quota share agreement. It was actually tiered some elements that were annual recurring some of it were 3 years. And those will come up for renewal midyear so end of June. We are in regular contact with all of our reinsurance partners, and I think your characterization is spot on this is a hard reinsurance market. Prices in general of reinsurance have become tighter. Our need for reinsurance has declined as our business has grown and diversified when we signed those agreements 3 years ago, we were a monoline business really in one country. We've now got 5 lines, 4 that we're underwriting and we're across 4 countries. So that kind of diversification helps a great deal. So we are looking at a series of options in front of us given the cost of reinsurance. But to be honest, the way this industry operates. It's very hard to do this too far in advance. The insurance -- the reinsurance industry rather tends to operate on a 60 or 30 day to renewal window. If you're lucky, you can do stuff 90 days out, but we're really too early in the year to know exactly what that would look like. Hopefully, by this time next quarter, we'll have greater clarity.
Tim Bixby: Understood. Maybe just one – maybe just one note on specific impact on seating percentage – if you think about the primary reinsurance structure, which is the quota share, that seating proportion has shifted over the past 2 years. So a year ago, the seed rate was 70% at the July – last July renewal that moved to 55%. And so how that works running through the financial model is it doesn’t happen, it’s a gradual impact. So you’ll see the seed rate shift in terms of flowing through the P&L from that 70% level last July, down towards the 55% level next July. It’s not a straight line. It’s not a straight linear transition, but it’s but relatively linear, and that’s just a continued shift. And then beyond July, again, because as Daniel explained, we’ve continued to model in the guidance, no material change until we get a better view and clarity on where we think the renewal will appear.
Operator: Thank you. And we have no further questions registered at this time. So we will conclude the Lemonade fourth quarter 2022 earnings call. Thank you all for joining. You may now disconnect your lines.